Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 0:03 Hello and welcome to the Bird Global Fourth Quarter 2021 and Full Year Earnings Call and Webcast. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. 0:23 It’s now my pleasure to turn the call over to Caitlin Churchill, Investor Relations. Please go ahead.
Caitlin Churchill: 0:29 Good afternoon, everyone, and welcome to Bird's Fourth Quarter 2021 and Full Year Earnings Conference Call. Before we begin, I need to remind you that all statements made on this call, that do not relate to matters of historical fact, should be considered forward-looking statements under US Federal securities laws, including statements regarding our current expectations for the business and our financial performance. These statements are neither promises nor guarantees and are subject to risks and uncertainties that could cause actual results to differ materially from historical experience or present expectations. 1:05 A description of some of the risks and uncertainties that could cause actual results to differ materially from those indicated by the forward-looking statements on this call can be found in the Risk Factors section of our Form 10-K to be filed later today, March 15, 2022, and other -- and our other filings with the Securities and Exchange Commission. 1:26 This call will also reference non-GAAP measures, including adjusted EBITDA and adjusted operating expenses that we view as important in assessing the performance of our business. A reconciliation of each non-GAAP measure to the nearest GAAP measure is available in our earnings release on the company's investor relations page at ir.bird.co. 1:48 I will now turn the conference over to Bird’s CEO and founder Travis VanderZanden. Travis?
Travis VanderZanden: 1:54 Thank you, everyone, for joining us today for our fourth quarter and full year earnings conference call. We ended 2021 with strong fourth quarter results, capping off a record-setting year for Bird from both the top and bottom line perspective. Fourth quarter revenue was $54 million, representing year-over-year growth of 126%. And our quarterly ride profit margin before vehicle depreciation reached an all-time high of 53% despite macro-related headwinds from the surge in Omicron cases later in the period and disruption of the global supply chain. And we successfully executed against our goals while exceeding increased expectations and continuing our mission to provide environmentally friendly transportation for everyone 2:41 A number of significant milestones were achieved in 2021, most notably: one, the delivery of $205 million in revenue in our fourth year of operation, in line with the top end of our guidance and representing 117% growth compared to the prior year, along with gross margin of 19% for the year, including four consecutive quarters of positive gross margin, culminating in record adjusted EBITDA performance ahead of expectations. 3:11 Two, the introduction of industry-leading innovative micro electric vehicles for both our sharing and product sales businesses, including the Bird Three and our Bird Bike in e-bike for consumers; and three, leadership in the US micromobility market on a sales volume basis for 2021 by our estimation, based on publicly available data for Bird and US peers. While leading in market share, overall market penetration represented far less than 1% of the US addressable market for micromobility, showcasing the long runway for growth we have ahead. 3:48 And lastly four, entry into the public markets with the successful close of our business combination with Switchback II in November, and in tandem securing $150 million of vehicle financing from Apollo Investment Corporation and MidCap Financial Trust to support continued growth. These milestones were achieved due to the hard work, passion and dedication of our incredible team of Bird employees and logistics partners and the support of our riders, city partners and suppliers. As you have heard me say before, we are just getting started. 4:21 This now leads me to discuss progress against our strategic growth initiatives. Strong unit economics driven by our vehicle innovation and fleet manager operating model, coupled with demand improvements as pandemic-related restrictions continue to ease, position us well for continued growth and progress on our path to achieving profitability. Our fleet manager operating model continues to drive strong ride profit margin results as demonstrated quarter-over-quarter since 2020. Despite the seasonal impact on our top line, this model is a key differentiator for Bird, both due to the profitability focus as well as the operational efficiency we unlock with each partner managing about 100 vehicles on average. 5:02 In fact, our pipeline for logistics partners remains robust even as we continue to elevate our expectations. As we look ahead, we will continue to optimize and develop our Fleet Manager program, including further investment in the technology platforms our partners use to manage their operations. The Fleet Manager operating model also helps expand our market reach by allowing for better access to long-tail markets, which we continue to see as a significant growth opportunity. Specifically, in 2021, Bird entered over 250 cities with populations of fewer than 500,000 each. 5:38 In addition to our expansion in long-tail markets, we remain focused on expanding into larger markets. In August 2021, we launched our e-scooter sharing service in New York City. Based on the program's success, the city is set to expand the footprint or service area of its e-scooter program this summer. As a result, we expect to double our fleet size to meet the needs of the scaled program. Existing large markets such as Washington, D.C. and Marseille, France, also renewed e-scooter programs over the course of 2021. 6:10 Underlying our expansion is our continued progress with our partnerships with cities and related community stakeholders. Our focus on sustainability, safety and smart technology is a key contributor to our successful relationships with our partner cities. On our last call, I highlighted our smart sidewalk protection technology. And today, I wanted to share a few exciting statistics regarding Bird's positive impact on the communities in which we operate. 6:35 According to recent research by our city partners, roughly 40% of US e-scooter trips replaced gas car trips. This would imply that Bird e-scooter rides taken in the US in 2021 helped prevent nearly 3,500 metric tons of CO2 emissions based on EPA CO2 emissions estimates for US passenger vehicles. Using methodology published by the Arbor Day Foundation, that is equivalent to the annual CO2 absorption of approximately 150,000 mature trees. 7:10 Conservative estimates also show that Bird riders added more than $100 million in incremental spending in 2021 to their local communities as they used our vehicles to travel short distances to local food and beverage retailers. The stats underscore not only the environmental impact, but also the positive social and economic impact that we have in cities and communities globally. 7:33 Another key contributor to our strong partnerships with cities is our leadership in vehicle innovation. As I mentioned, this past year, we successfully rolled out our latest generation e-scooter, the Bird Three. The ECO conscious Bird Three made up 37% of our global Bird design fleet by 2021 year-end. Bird Threes have shown 20% less vehicle damage compared to other Bird designed vehicles over the past four months and are designed to operate for longer periods than prior models. 8:02 In addition, earlier this year, we introduced our e-bike sharing program and launched our Bird Design consumer e-bike. As we look ahead, we will continue to focus on vehicle innovation and lean into the benefits we gain from our end-to-end vehicle design as demonstrated in our margin performance to date. We see opportunities across our fleet to expand our reach as we build out our now multimodal operations. The demand for e-bikes continues to be robust, and we plan to aggressively build out both our sharing fleet as well as lean into our product sales division. 8:36 In summary, we are very pleased with our strong execution throughout 2021. As we enter spring, with Omicron cases down from the January peak and weather improving, we are seeing demand pick up significantly, with the March to date gross transaction value trend implying over 50% growth month-over-month. Yibo will provide more detail on our outlook in a moment, but I remain confident in our ability to deliver on our strategic objectives in fiscal 2022, while staying focused on our path to profitability and driving value for all of our stakeholders. 9:11 Our team remains committed to advancing our mission to provide environmentally friendly transportation alternatives to gas-powered vehicles, which is even more critical now as gas prices continue to rise and consumer reliance on gas-powered vehicles continues to shift. With continued industry tailwinds and our proven strategic initiatives, we believe we will continue to drive strong performance this year and beyond. 9:36 I'll now turn it over to Yibo to go in more details on our financials.
Yibo Ling: 9:41 Thank you, Travis. As just discussed, 2021 was a milestone year for Bird. We delivered revenue of $205 million, achieving the high-end of our guidance range, while adjusted EBITDA loss of $67 million exceeded the high end of our guidance by 10%. Underlying this performance was continued strength in gross margin driven by our Fleet Manager operating model and continued vehicle innovation. Our fiscal 2021 performance represents records for the company and reflects the strong rebound in consumer demand we saw from the rollout of vaccination and the loosening of COVID-19-related restrictions across the globe. 10:19 Furthermore, our business successfully weathered labor and inflationary pressures spurred by COVID-19 as reflected in our year-over-year adjusted operating expense improvement. Note, we incurred $87 million in noncash stock-based compensation expense, which resulted from the issuance of restricted stock unit and the accelerated expense recognition methodologies associated with certain service-based and market-based awards in connection with our business combination. Adjusted operating expenses, which excludes the stock-based compensation expense in certain non-cash, non-recurring or non-core expenses decreased 14% year-over-year. 11:00 Alternatively, as a percent of revenue, this adjusted OpEx figure decreased by 117 points over the same period, demonstrating significant top line recovery against the COVID-19 depressed 2020 in combination with improving operating leverage. Despite macro headwinds in the back of the year, we delivered against our objectives and ended the year with a stronger fourth quarter performance than initially expected. 11:21 Let me now provide more details on our fourth quarter financial performance. For the quarter, we reported revenue of $54 million, up 126% against Q4 2020. Our sharing business outperformed our expectations, driven primarily by a strong improvement in utilization as measured by rides per deployed vehicle per day. With respect to our product sales division, beginning in 2022, we made the decision to primarily work directly with our retail partners in the US to better address surging demand for e-scooters and e-bikes, and recently hired a new head of North America product sales, who comes to Bird with nearly 20 years of industry experience. 12:00 As part of this strategic approach, we have wound down a distributor agreement, which, in turn, impacted our fourth quarter product sales revenue previously recognized in October, which we discussed on our last call. By miss shifting towards more direct sales, we expect to drive improved margin performance within our product sales business alongside increased control of our sales channels over time. 12:21 Turning to the rest of our P&L. Gross margin for the fourth quarter was positive $8 million compared to negative $2 million in Q4 2020. Ride profit before vehicle depreciation as a percentage of sharing revenue increased to 53%. And finally, we reported an adjusted EBITDA loss of $21 million in the fourth quarter, reflecting an improvement of $7 million compared to the prior year period. Please see today's press release for a reconciliation of GAAP to non-GAAP metrics. 12:53 Turning to our balance sheet and cash flows. We ended the year with total cash, cash equivalents and restricted cash and cash equivalents of $160 million in total liquidity of $251 million, including $101 million of undrawn capacity under our vehicle financing facility, which we expect to continue to draw again as we deploy 2022 vehicles over the coming quarters. We intend to continue to explore cost efficient forms of capital to fund the business and opportunities to further optimize our capital structure. With regard to cash flow, as discussed in Q3, we drew forward meaningful portions of our 2022 and 2023 vehicle CapEx. In the second half of 2021 as an important component of our proactive supply chain management strategy, in an effort to mitigate the impact of global logistics and supply chain interruptions of the type we experienced last year. 13:45 Coupled with the strength of our supplier relationships, we feel this positions us well from a production standpoint to meet our vehicle deployment goals. We are immensely proud of all that our team and logistics partners have accomplished over the course of the past year. Our business has grown and adapted rapidly amidst some challenging market conditions as best exhibited by our gross margin improvement. We recorded our first full year of positive gross margin, specifically 19% of revenue, with each quarter therein also positive, translating to a 44.0 increase as a percentage of revenue year-over-year. This is largely attributable to the effectiveness of our Fleet Manager operating model, and the resilience and extended operating life of our Bird designed and engineered vehicles 14:30 Now turning to our outlook, which, aside from the known impact in Q1, assumes no material deterioration in the company's current business operations and supply chain as a result of geopolitical instability as well as COVID-19, its variance or any other unforeseen macro development. For the first quarter, we expect revenue in the range of $34 million to $36 million. This reflects the impact of Omicron-depressed demand early in the Q1 period on top of our traditional seasonal demand trough in combination with the strong recovery, which Travis characterized earlier that we're now seeing with each additional week in March. 15:06 While it is still early in the year, we expect continued recovery towards pre-pandemic levels of demand. Moreover, our vehicle deliveries for the balance of the year are on track due to the proactive steps I mentioned earlier to mitigate supply chain pressures. Putting the demand and supply pictures together, we believe we're well positioned to capitalize on the promise of the industry as the year progresses, especially as more people look to adopt environmentally-friendly transportation alternatives. Specifically, for the full year 2022, we expect revenue to be at least $350 million, an increase of more than 70% over fiscal 2021. We also expect to benefit from continued gross margin rate expansion, which we see trending into the 20s for fiscal 2022, owing primarily to continued scaling of our Fleet Manager operating model in context of an ongoing fleet mix shift towards newer, innovative Bird designed and engineered vehicles. This margin expansion, in combination with increasing operating leverage against our fixed cost base, should drop through directly to further year-over-year gains on adjusted EBITDA. We expect to update on the full year outlook in coming quarters. 16:15 With that, we’re ready to take questions. Operator?
Operator: 16:18 Thank you. We will now the conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Tom White with D.A Davidson. Your line is now live.
Tom White: 16:50 Great. Thanks for taking my questions, guys. And nice end of the year. But two, if I may. I guess just first off, Travis, you touched on kind of rising gas prices. I was hoping you could maybe just talk a little bit about what rise in gas prices kind of means for your business? And then, secondly, on the outlook, it seems like a lot in the world has changed since we heard from you guys last quarter and certainly from kind of the initial forecast you put out during your business combination. Could you maybe just talk about like the kind of like the pluses and minuses? I guess gas prices are maybe part of that, seems to be some changes on the competitive landscape. Any other kind of kind of puts and takes relative to kind of how you viewed 2022 maybe three or four months ago? Thanks.
Travis VanderZanden: 17:45 Yeah. So maybe I'll take the gas prices first. While nobody likes high gas prices, and we obviously don't like how we got here, we do think elevated gas prices will likely accelerate the transition to affordable micro electric vehicles such as Bird and away from gas-powered vehicles and gas-powered ridesharing specifically. As the prices are going up at the pump, people are looking for alternatives. They want to get back out of their houses after being closed in for two years. And AAA did a survey recently in February that indicated 59% of Americans would change their driving habits if gas has hit over $4 a gallon nationally, and that was in February. Here we are in March, and we're well above that mark. So we do think consumer behavior is going to change. And we think, ultimately, that will be a tailwind for micro electric vehicles and in 2022. Maybe I'll let Yibo answer the '22 question.
Yibo Ling: 18:45 Yeah on the outlook as you've noted, we've learned quite a bit over the last three to four months since we spoke, Tom. Just to reiterate our outlook for the year, we're at $350 or above, which would represent 70% year-over-year growth over last year. The way that we came to that really presumes no incremental utilization uptick this year versus last despite the fact that, as we all know, last year, in '21, we did see meaningfully higher utilization than 2020. We chose to take this approach because we thought it was prudent in light of all that we're seeing ahead of us. 19:27 Now to the specific points, I think on the puts and takes, Tom, I mean, gas prices is certainly a piece of it. Omicron did hit us during a seasonal trough for us. So really, the impact was felt in the latter half of December and then now in January and February. But we seem to be coming out of that in a pretty dramatic way. I think Travis characterized the growth that we've seen in March, which we're pretty excited about. So there's that dynamic at play. And then on the competitive side, we are seeing meaningful consolidation across the board there. So putting all of those things and serving them around in a stew, we come to this 70% year-over-year growth outlook, or above.
Tom White: 20:17 Great, thanks so much.
Operator: 20:20 Thank you. Our next question today is coming from Steven Fox from Fox Advisors. Your line is now live.
Steven Fox: 20:25 Hi, thanks. Good afternoon. Two questions from me, please. First, on the increase in the number of cities that you're in the 400 plus versus I think the last update was 350 plus, can you talk about the mix of the increase, not the total cities, but the increase where you were focused on either, as a percentage by region, longtail versus major cities, etc. And then I have a follow up.
Travis VanderZanden: 20:51 Yeah, So we continue to add markets at a very fast pace, as you know, in over 400 cities now across the globe, primarily US and Europe. We continue to focus really on large cities and long tail cities. A lot of the newer cities are long-tail cities, although we want to further penetrate the bigger cities as well. An example is in New York City. We – after working closely with the city, and that program seems to be off to a good start. It looks like we're going to be increasing our fleet size by at least 2x this year. And so we're really trying to penetrate existing cities more, but then continuing to launch more and more cities across the globe and, again, operating in over 400 cities now globally, and as Yibo mentioned, that leads to ‘22 guidance on the revenue side of at least $350 million for the year.
Steven Fox: 21:45 Okay, thanks. And then on the on the unit economics, ride margin ex-depreciation. It's really fabulous, especially given the quarter you were in, but I'm having trouble getting to the math, can you sort of break down the improvement either year-over-year or quarter-over-quarter? What contributed to the -- what contributed as much as you can in terms of how you got that number? Thanks.
Yibo Ling: 22:12 It's a great question, Steven. So Ride margin, the story there, which we, by the way, expect to enjoy further fruits of in the coming year is really driven by strong performance that we've seen with our fleet managers in combination with their earnings and the retention that result from that. So as the fleet managers do well, that helps us in a meaningful way with the right margin and -- excluding depreciation point. For the year ahead, as utilization continues to recover, that piece of the story should continue to come to the fore and driving continued progression on ride margin.
Steven Fox: 22:57 Okay. But if maybe just rank the improvement. Is it just basically fleet manager performance relative to a year, that's what it blows down to?
Yibo Ling: 23:08 Yes.
Steven Fox: 23:09 Got it.
Yibo Ling: 23:10 Yes. That's the vast majority of what sits above right margin, excluding depreciation.
Steven Fox: 23:15 Understood. Thank you.
Operator: 23:19 Thank you. Your next question is coming from Eric Sheridan from Goldman Sachs. Your line is now live.
Eric Sheridan: 23:25 Thank you so much for taking my question. Maybe 2, if I can. On the $350 million plus in terms of revenue or at least that for the year, can you break out the components of same-store or same city growth that's driving that versus elements of cities that you plan on expanding into in the year so we can better understand a little bit element of both levers from a growth perspective. And then in terms of the key investments you have to make, can we get a better sense on whether it's gross margins or EBITDA margins? How we should be thinking about the cadence of investments in the year? And how that might translate against broader full year margin goals? Thank you.
Yibo Ling: 24:07 Sure. So in terms of the $350 million revenue guide, we're not providing specific breakouts at the moment. But I would say the growth generally will come from a combination of new cities that we're not operating in, large cities, expansion within our existing markets and a continued focus on the long tail. So that piece of the story, I think, continues to be an emphasis for us. We do view our Fleet Manager operating model and it's ability to generate positive margins in smaller cities and smaller towns as being a differentiated part of the Bird story. And so that's going to be a big part of the growth that we see in the year ahead. 24:50 With respect to the key investments, Eric, I'm not sure if this is quite getting at what you're after. But a lot of our investment in the cash, frankly, this year is going towards vehicles, and specifically even newest vehicles, Bird 3s, which we know from the historical data exhibits significantly longer life than some of our older vehicles, in fact, longer life than we were anticipating when we initially put those on the ground. So 37% of our fleet, as Travis mentioned, is Bird 3s towards the end of the last year, and that's going to continue to grow into the mid-60s this year. So that will be a big driver for the gross margin improvement in combination with the Fleet Manager revenue share that we've already spoken about, but the per ride vehicle depreciation should continue to see benefit from the mix shift towards our newer Bird Three vehicles that are lasting quite a bit longer.
Eric Sheridan: 25:56 Okay. Great. Thank you.
Operator: 26:00 [Operator Instructions] Our next question is coming from Richard Tullis from Capital One Securities. Your line is now live.
Richard Tullis: 26:10 Thanks. Good afternoon, everyone. Just a question on the flexibility that you have, Travis, on raising prices, obviously, with gasoline at the pump increases, everyone is more aware of what their cost is on that side and probably more open to accepting cost increases elsewhere. So maybe speak a little bit about your potential ability to raise prices in 2022?
Travis VanderZanden: 26:40 Yes. We're certainly monitoring inflation closely, and we do think we will be able to pass through cost to the riders. I mean I think, historically, we've been able to increase prices every year in this business. And in fact, last year in the US, we did quite a few price increases without any noticeable impact on retention or ridership. And so I think one of the strengths of this business and model is our ability to increase prices. And so we do anticipate that as a potential lever for us in ’22, although I will say the guidance we gave does not assume any price increases this year. And so it's not something we've modeled in, into the guidance, but it's certainly something we're very open to, and we've become more and more sophisticated every year on that side, and we'll continue to experiment.
Richard Tullis: 27:36 That's helpful. Thank you. And just as a follow-up. I know we're still early in 2022. But how are you positioning your bike retail sales inventory in anticipation of the holiday season late in the year?
Travis VanderZanden: 27:54 Yes. So on the product sales side and the e-bike specifically, I mean, we've been partnering with mass retailers, Target and Best Buy in the US and we announced Halfords in the UK recently. We're also building relationships with independent bike dealers throughout the US as well, which is a big part of the overall market. But we continue to be excited by the e-bike on the consumer product side and want to continue to lean into that. As folks know, product sales this last year was really the first year for us with the e-bike and in 2021 product sales is about 9% of revenue, but we expect that to continue to grow even faster than the core business, albeit on a small base as we head into 2022.
Richard Tullis: 28:42 Okay. That’s all for me. Thank you.
Operator: 28:45 Thank you. We reached the end of our question-and-answer session. I'd like to turn the floor back over to Travis for any further closing comments.
Travis VanderZanden: 28:55 Thank you all for joining us today. Before we close, I would like to take a moment to acknowledge the devastating situation in Ukraine. Our thoughts are with all those impacted, and we are very hopeful for a fast and peaceful resolution. We hope you and your families remain safe and healthy, and we look forward to speaking with you again on our next earnings call. Thank you.
Yibo Ling: 29:14 Thanks, everyone.
Operator: 29:15 Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.